Operator: Good day, and welcome to the MTY Food Group Fiscal 2024 Fourth Quarter Results. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this note this event is being recorded. I would now like to turn the conference over to Eric Lefebvre, CEO of MTY Food Group. Please go ahead.
Eric Lefebvre: Thank you. Good morning, everyone. Thank you for joining us for MTY's fourth quarter conference call for fiscal 2024. The press release and MD&A with complete financial statements and related notes were issued earlier this morning and are available on our website as well as on SEDAR. During the call, we will be referring to forward-looking statements and to certain numbers that are non-IFRS measures. You can refer to our MD&A for more details. I also remind you that all figures presented on today's call are in Canadian dollars unless otherwise stated. MTY delivered a remarkable financial performance once again in fiscal 2024. Despite a more challenging macroeconomic environment, our free cash flows net of rent payments reached $5.75 per share or $137.9 million. Those funds were used to return a record amount to our shareholders in the form of share buybacks and dividend payments, which totaled over $68.6 million combined. MTY also paid back over $79.5 million of its long-term debt during the year, making our balance sheet healthy and well-positioned for future growth. During the fourth quarter, and for the first time in 10 years, MTY achieved a net positive location growth in the quarter with a net of plus 13 restaurants. This is a major milestone for our teams, we had been pursuing this objective for a long time. A strong pipeline of new locations and a good control of closures remained two of our top priorities for the future. We were able to align the two metrics during the last quarter with 92 openings and 79 closures. During our 2024 fiscal period, our system sales remained flat at over $5.6 billion. Sales sequentially improved every quarter, starting the year with a minus 2% in the first quarter, and finishing with a plus 2% in the fourth quarter. Our snack brands in the U.S. performed especially well with Cold Stone Creamery, Wetzel’s, Pretzels, and Sweet Frog leading the way. In the fourth quarter, the Canadian, U.S. and international segments all saw organic growth in system sales coming mostly from the performance of recently opened locations. I'm also encouraged by the positive outcome of the company's increased efforts in usage of data, digital marketing, online ordering, and websites during the past year. Our digital sales grew 9% year-over-year to $1.1 billion in fiscal 2024. There's still a lot of work to do to achieve our objectives, and we continue to take steps to make the customer experience as seamless and engaging as possible so that the growth momentum continues in the future. Digital sales are now 20% of MTY's total sales and still represent a significant opportunity for growth, especially in Canada. Our dual growth strategy leveraging strategic acquisitions and organic growth, largely enabled us to overcome uncertain market conditions and inflationary pressure during the past years. Although, MTY did not find a suitable acquisition target at an attractive price during the year, our team still intends to diligently pursue a treat acquisition targets while maximizing the performance of the brands in our existing portfolio. At the end of the fourth quarter, our network had 7,079 locations in operation of which 6,827 were franchised or under operator agreements representing 96.4% of our total store count, while 252 were corporately owned, representing 3.6% of our network. At November 30th, 57% of our restaurants were located in the U.S. producing 66% of our network sales. Of note, 84% of our locations are now street-front or non-traditional, with only 16% being in shopping malls or office tower food courts. 2024 was a year of adjustments for MTY following the major acquisitions of the last few years, we undertook a restructuring process that led to the elimination of several senior positions in the organization and to the redefinition of others. Our industry is changing at a fast pace, and it was important for MTY's present and future success to have the right structure and more importantly, the right talent in the right position. Although, we need to continue challenging ourselves to further adjust and be more efficient, we anticipate more stability in 2025 as we hope to harvest the fruits of the cost control measures and synergies realized in 2024. This should culminate later this year with the delivery of our new ERP, which promises to MTY infrastructure more robust and built for significant future growth. I will now turn the call over to Renee, who will discuss MTY fourth quarter results in greater details.
Renee St-Onge : Thank you, Eric, and good morning everyone. In the fourth quarter, normalized adjusted EBITDA totaled $59.4 million, a decrease of 1.6% from the $60.4 million realized in the fourth quarter of 2023. Our franchising segments had an exceptional quarter with franchising margins increasing from 47% last year to 51% this year, generating a 7.9% increase in normalized adjusted EBITDA year-over-year. This performance is aligned with the realizations we made in the previous quarter, and it is further evidence of the reliability, consistency, and resilience of our main business components, which represents 83% of normalized adjusted EBITDA. Our corporate restaurant segment, however, had a challenging fourth quarter, while revenues were up during the quarter, mainly as a result of additional locations repossessed during 2024, our margins were under pressure causing our EBITDA to decrease by 39%. Some of our predominantly corporate concepts such as Barrio Queen and Granite City saw top-line sales decreases, which caused a decline in the profitability of these restaurants. Of note, our corporate location sales performance has trailed that of our franchise location and our teams have implemented various initiatives in 2025 to reverse that trend and restore profitability to these corporate restaurants. Our retail distribution and manufacturing, which represents 6% of our total normalized adjusted EBITDA, concluded a difficult 2024 fiscal period with a decrease of 12% compared to prior year. Our manufacturing plants continued to perform well during the quarter, but our retail business once again struggled to generate the desired level of sales as grocery stores continued customers continued to migrate to discount brands and house labels during the period. During the fourth quarter, a reassessment of the valuation of certain tangible and intangible assets led to non-cash impairment charge of 64.6%, sorry, charge of $64.6 million. The charge on property, plant, and equipment was recorded on certain recently acquired corporate locations that did not perform at the level expected when their valuation was established, while the charge on intangible assets was due to lower-than-expected 2024 performance for some brands. Similarly, we recorded a goodwill impairment charge on our Papa Murphy's brand based on past performance and lower expected future growth. The volatility in foreign exchange rates also caused a charge of $26.3 million during the fourth quarter. This was driven by the conversion of some intercompany loans dominated in U.S. dollars, the result of which is a large charge to our net income and a corresponding gain in our statement of comprehensive income. As a result of the impairment charge and the accounting for the foreign exchange variations on intercompany loans, MTY reported a net loss attributable to owners of $55.3 million during the fourth quarter or $3.34 per diluted share. Net accounting loss should not however overshadow the strong performance realized during 2024, including the fourth quarter during which we generated $2.52 in normalized adjusted EBITDA per share and $1.85 in operating cash flows per share. We are wrapping up the year with just over $11 per share in normalized adjusted EBITDA, $8.54 in operating cash flows per share and $5.75 in free cash flows net of rent payments per share. Those metrics once again prove the strength of our business model and demonstrate the financial health of MTY. We end the year with a net debt of $656 million a reduction of over $52 million compared to the end of 2023. Considering our strong cash flow generating ability, our debt to EBITDA of approximately 2.5 times is a level of debt that gives us the flexibility to make acquisitions should the opportunity arise, while we continue to return capital to shareholders in the form of dividends and share buybacks. And with that, I'd like to thank you for your time, and we'll now open the lines for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And the first question comes from Anshul Agarwala with National Bank. Please go ahead.
Anshul Agarwala: Hi. This is Anshul in for Vishal Shreedhar. We wanted to touch on your net store openings. I'm wondering if you guys conduct franchisee surveys to get a feel of what they think about their MTY offering? And what are the opportunities for them to make them more excited to add more stores?
Eric Lefebvre: Yes. Well, as you might expect, we talk to our franchisees on a regular basis. So, that certainly happens ad hoc especially early when franchisees open new restaurants as the efforts to lift a new business off the ground is always considerable. So, we need to be all hands-on deck for our operations team, our local store marketing teams and franchisees as well. So, there's regular discussions with existing franchisees and a large portion of our new store openings comes from existing franchisees. It's about 2/3. So, to us, that's the validation we need to show that our brands are relevant and that franchisees can be successful with our stores. So yes, we don't necessarily have a formal process to conduct surveys. We have a few brands that will do it annually, but even annually is a time line that is not regular enough. So, the regular discussions with our franchisees happened with our appeal people being in the restaurants on a regular basis and talking to franchisees.
Anshul Agarwala: And I just wanted to see the trends in the ongoing quarter so far, just given the tax holiday in Canada and unfavorable weather across U.S. and Canada reported by some companies. Just wondering what the impact -- what the trends are for MTY through the quarter so far?
Eric Lefebvre : Yes. It's hard to assess the exact impact of the tax holiday. Obviously, there are provinces where it makes a good difference than others. If you take, for example, Ontario gets a 13% discount, whereas Quebec gets only 5% and the clinic provinces get a little bit more depending on which province but it's hard to exactly assess the impact. What we know is that in Q1, our Canadian restaurants have performed exceptionally well. So, we're really happy with our Canadian segment in Q1 so far. In the U.S., it's been a little bit more challenging. As you mentioned, there's been very cold weather. There's been the fires in California. There's been snow storms that affected regions that don't normally get snow and cold with Texas and Louisiana and Florida being affected with snow and cooler than normal weather as well and considering that we're selling a lot of ice cream and frozen yogurt and smoothies. It's not necessarily good for business. So, I would say, right now for Q1, Canada is doing exceptionally well. U.S. is lagging a little bit. But all in all, we're happy with the beginning of the year in terms of our sales.
Anshul Agarwala: That's great color. And just finally, I wanted to touch on the topic of tariffs. I wanted to get a sense how much of cross-border sourcing is done that could be impacted by tariffs? And how much leverage does MTY have to limit that impact?
Eric Lefebvre : Well, yes, it's early because we don't have the exact details of tariffs and then the countermeasures that might or might not happen. So, it's a fluid situation that we're monitoring. There's not that much cross-border, obviously, if there's a tariff on fruits and vegetables coming from the U.S. to Canada, that would be a problem because there's as you might expect, Canada doesn't grow much in the winter. So, we do need to source a lot of it from California and other major agricultural producers. So -- but right now, there are no tariffs announced on these products. So that would be the biggest impact. But other than that, we source a lot of what we need domestically. In the U.S., there's a little bit of packaging that's coming from outside the country. There might be some impacts on equipment as well where you need stainless steel and you need aluminum. So, there might be some impacts there. But the impact is not super drastic. And in Canada, we feel the same way, whereas we source a little bit from outside. Right now, we have no visibility on something that would be a great magnitude on the business.
Anshul Agarwala: Thank you.
Operator: [Operator Instructions]. Our next question comes from Derek Lessard with TD Cowen. Please go ahead.
Derek Lessard : Good morning, guys. I just wanted to get a sense around what you're thinking in terms of your 2025 outlook, I guess, in the context of sort of a difficult macro backdrop still in the competitive environment? And then just maybe as a follow-up as well, kind of your expectations around your 2025 network expansion?
Eric Lefebvre : Yes. Well, I mean, we don't give guidance, so not necessarily prepared to give you an outlook for 2025. What I'll say is we're off to a good start of 2025, and we're happy with where we are now. We're happy with the actions we took in 2024 to prepare for that coming year. So, good for 2025, we don't necessarily want to give more information than that for the rest of the year, but we're off to a good start. And then as far as network expansion, I mean, we had one quarter of positive store growth. I'm not going to say that it's going to be an easy ride going forward. I do think that we have the foundations to have other quarters of positive store growth, but negative store growth might still happen also in the future and will still happen in the future. So, we're not at that point yet where we feel confident like every quarter it would be positive store growth.
Derek Lessard: Okay. And maybe just on the on your U.S. same store sales growth this year, really strong QSR performance and even stronger on the fast-casual side. Just curious if you can maybe add some color to some of the drivers there. And maybe as a follow-up to that, I was curious, does that do those same-store sales numbers include foreign exchange benefits?
Eric Lefebvre: No, same-store sales never include foreign exchange. So, it's always done in domestic currency. So, we exclude the noise there. But yes, QSR did well. Our snack category and we call it QSR and most of it in the U.S. is our snacks. Wetzel's performed remarkably well. Sweet Frog, which is a brand that we don't talk about enough, that's one of our big brands, especially in the two-quarters of the summer, has performed really, really well. Cold Stone again, was a strong brand and even the smaller brands like Pinkberry, for example was super successful in 2024. So, really happy with the work of the team. The consumer still responds well to that impulse buy and to that indulgence. You just need to be top of the list and people still appreciate these moments, these family moments, these first dates that they are doing at Cold Stone and all these experiences that we are offering. And we have a great product, great team, great marketing, great franchisees. So overall, good experience for that snack segment.
Derek Lessard: And maybe it's a segue into my next question just around the impairment charge at Papa Murphy's. Just wondering if you can maybe elaborate on that in terms of the outlook you're seeing with Papa Murphy's. And I think there was a couple of other or you said a dozen or so other brands that were included. So, just curious on the what you're seeing there.
Eric Lefebvre: Yes. It's interesting you mentioned a number of brands. And unfortunately, when we do the purchase price allocations after we acquire a brand, it based on the forecast we have. And if we beat our forecast, we can't use the bump up. But if we don't beat our forecast, we have to impair. The accounting rules are made in a way where it becomes extremely sensitive to these different variations in your models. As far as Papa Murphy's is concerned, the performance was a little bit less in 2024. As you know, we've closed more stores and you have the details in the annual information form that's also out today. And as a result, we lowered a little bit our existing store base and the baseline is lower for the forecast. So, that causes a situation where your realizable value becomes a little bit less and we had to take that impairment. But again, these impairments are largely accounting driven and that’s really based on the original forecast you make on the acquisition. And again, if you beat your forecast, you can't recognize it and we have a lot of upside on other acquisitions that we're not allowed to talk about, but we have to talk about where we slightly missed on our forecast.
Operator: And the next question comes from Anshul Agrawala with National Bank. Please go ahead.
Anshul Agrawala: Hi. Yes, just wanted to touch on your capital allocation priorities as well going forward, if you were able to quantify your NCIB and dividends as well as your outlook for acquisitions in 2025?
Eric Lefebvre: Yes. Well, I mean with the stock price where it is, we feel that like MTY is a really attractive target at the moment. So, we chose to buy our own shares. And when we still are buying our own shares and so we're going systematically about it, so we're not buying large quantities, but we're buying enough that if we continue buying for a year, we're going to be right against the maximum allowed by the regulators. So, we feel that's a very relevant capital allocation strategy, especially considering where the share price is. And then as far as other uses of our cash, we're still aggressively pursuing acquisitions. We still want to acquire businesses. As you know, over the years, people have seen it. We're patient, and we're disciplined, and we won't acquire businesses at the wrong price or for the wrong reasons. So, we're patient, and we're looking at the market. There are some transactions in the market. A lot of them are very expensive. We've seen some this year that we were in the stratosphere in terms of valuation, and we're not prepared to do that. So, we're patient. We're going to wait for the market to adjust, and we're going to wait for the right targets to be available for us to pull the trigger. But priority is still acquisitions. We still want to acquire businesses. And the fact that we haven't acquired in 2024 doesn't mean we want to pause or stop. It just means that because of our approach and because of how disciplined we are, there was no suitable target, but it doesn't mean that for the future, there won't be. And as far as dividend, I mean, it is what it is. We're paying a small dividend. We're not going to be a dividend stock, but we feel like it's appropriate to return some capital to our shareholders.
Operator: This concludes our question-and-answer session. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.